Operator: Welcome to Gevo Third Quarter 2020 Earnings Conference Call. My name is Catherine, and I will be your operator for today’s call. At this time, all participants are in a listen-only mode. Later we will be conducting a question-and-answer session. Please note that this conference is being recorded. I’ll now turn the call over to Geoffrey Williams, Gevo’s Vice President, General Counsel and Secretary. Please go ahead, Mr. Williams.
Geoffrey Williams: Good afternoon, everyone. And thank you for joining Gevo’s third quarter 2020 earnings conference call. I would like to start by introducing today’s participants from the company. With us today is Patrick Gruber, Gevo’s Chief Executive Officer; Lynn Smull, Gevo’s Chief Financial Officer; and Carolyn Romero, our Vice President and Controller. Earlier today, we issued a press release that outlines the topics we plan to discuss today. A copy of this press release is available on our website at www.gevo.com. I would like to remind our listeners that this conference call is open to the media and that we are providing a simultaneous webcast of this call to the public. A replay of today’s call will be available on Gevo’s website. On the call today and on this webcast, you will hear discussions of certain non-GAAP financial measures. Non-GAAP financial measures should not be considered in isolation from or as a substitute for financial information presented in accordance with GAAP. Reconciliation of these non-GAAP financial measures to the most directly comparable GAAP financial measures is contained in the press release distributed today, which is posted on our website. We will also make certain forward-looking statements about events and circumstances that have not yet occurred, including, but not limited to, projections about Gevo’s business development plans and operating activities for the remainder of 2020 and beyond. These forward-looking statements are based on management’s current beliefs, expectations and assumptions, and are subject to certain -- significant risks and uncertainties, including those disclosed in Gevo’s Form 10-K for the year ended December 31, 2019, that was filed with the U.S. Securities and Exchange Commission, and in subsequent reports and other filings made with the SEC by Gevo, including Gevo’s quarterly reports on Form 10-Q. Investors are cautioned not to place undue reliance on any such forward-looking statements. Such forward-looking statements speak only as of today’s date and Gevo disclaims any obligation to update information contained in these forward-looking statements whether as a result of new information, future events or otherwise. On today’s call, Pat will begin with a discussion of Gevo’s business developments, Lynn will discuss the status of the Citigroup financing process and Carolyn will then review Gevo’s financial results for the third quarter of 2020. Following the presentation, we will open up the call for questions. I’ll now turn the call over to Pat.
Patrick Gruber: Thanks, Geoff. This past quarter was extremely significant for us. We now have about 48 million gallons per year of take or pay off take agreements in place, representing approximately $1.5 billion across the life of those contracts, which are run about six years to seven years from the start a full scale production. These take or pay contracts are being used to secure the funding to build plants. Not that long ago. We were working hard just to sell out the capacity of our Luverne Facility. Our business has now changed. We now have demand for our products and with contracts that justify more than one production facility. The Luverne is not big enough to service the contracts we already have signed. The increased demand is significant, because it shows potential investors that our plant projects offer significant growth potential beyond just Luverne. That’s important because people want to see platforms of projects. Not only that, potential investors in the project see clearly that we have the funds to fully pay off white box. Before you raise money this past quarter, there has been a real question of how we deal with white box. White box from a potential investor point of view complicated future deals because white box, by the way, has been an outstanding partner over the last seven years has a senior secure position in all of Gevo assets, with physical and intellectual property. Well, now we have the money in the bank to pay off white box and remove the liens. We have been able to pay them off clearly is a big deal. Nothing can prevent that from happening by year end. We also now have the money to do the required project engineering and development work necessary to secure project financing. In fact, we’ve already started to move forward on this. We are in the midst of choosing additional plant sites. Our choice of plant sites is impacted by the ideas of our potential equity investors. Yeah, you heard me right. While we haven’t announced who our potential equity investors are, we are working with several potential partners. Lynn will talk more about the Citigroup financing project in a couple minutes. On the business development front, we are expected to secure additional large offtake agreements, negotiations are progressing albeit not fast enough for my case, I would prefer to announce them already. But they aren’t inked yet. We have more players in the mix wanting more volume. That’s great. But we need the details good down the contract sign so that we can then pin down additional plan sites, as well as the total number of plants. In the meantime, we are getting on with the engineering for the 48 million gallons per year of plant projects that are already under the contracts. I expect that the near future we will announce the names of the engineering firms that we’ll be using to engineer and build the projects. So for the first time in many years and this is a big deal, we are in the mode of having to raise money to simply to stay alive. Now it’s all about project execution and growth. It’s about leveraging our technology, the marketplace development that we already have in place and getting the project financing secure to build multiple projects. With that, I will turn the call over to Lynn to provide more details on the project finance process with Citigroup. Lynn?
Lynn Smull: Thank you, Pat. The Citigroup process to assist Gevo in securing financing to build out our production capacity is going well. Recall that we’re trying to raise about $700 million at the project level, which would finance three plant construction projects to supply about 70 million gallons per year. We anticipate that this financing would require about $200 million in equity and $500 million in debt. Citigroup is helping us with both the debt and the equity. The $700 million in funding would be invested in special purpose project entities that are non-recourse to Gevo. We anticipate that Gevo will be a minority equity holder in the SPVs. By raising money at the project level we avoid a couple of issues. First, it’s not diluted to Gevo, Inc.’s stock, and second, it allows us access to capital from companies and funds who may have limitations on investing in Gevo stock and may have preferences for specific project exposures. On the equity side, we have several term sheets that are more than enough to cover the equity needed. Each of these potential investors is deep into diligence. This isn’t like investing in penny stocks where people buy them knowing nothing. In project finance investors go through every detail. They hire experts who have to vet the information from technology to commercial structure to pro forma financial results. Project investors both debt and equity require a complete understanding of the risk return proposition. After they complete their diligence, we would move to finalizing equity investment terms. The timeline for diligence typically takes months even if we weren’t in a COVID world. Despite COVID we’ve become pretty adept at dealing with COVID by increasing our use of video conferencing. Once the diligence phase is complete and we’ve agreed on financial terms, we would enter into binding agreements for the investments and advanced the work to meet typical project style conditions precedent to financial close. On the debt front, Citigroup has been figuring out the best options and we believe we have a clear path to a debt format and structure that should appeal to investors. The debt to build out the plants doesn’t get into place unless the equity commitment is assured and vice versa. These closings are essentially simultaneous. We are also paying attention to timing. We have approximately 48 million gallons per year under contract. The Citi projects contemplate 70 million gallons per year. We don’t have to do all 70 million gallons at once, which is why Pat said, we are moving forward on the first two plant sites now. As we pin down the next set of customer contracts and their volumes we will also pin down a third site and begin development work in engineering for that site as well. We have strong players who have strong strategic and financial reasons for wanting to invest in Gevo’s projects. Stay tuned. Now I’ll turn the call over to Carolyn who will take us through the financials. Carolyn?
Carolyn Romero: Thank you, Lynn. Gevo reported revenue in the third quarter of 2020 of $0.2 million, as compared to $6.1 million in the same period in 2019. During the third quarter of 2020, hydrocarbon revenue was point $0.1 million, compared $0.6 million in the same period in 2019. Hydrocarbon sales decreased because of lower shipments of finished products from our demonstration plant at the South Hampton Resources facility in Silsbee, Texas. During the third quarter of 2020, revenue derived at the Luverne Facility from ethanol sales and related products was $0.02 million, compared with $5.6 million during the same period in 2019. As a result of COVID-19, an unfavorable commodity environment we terminated our production of ethanol and distillers grain in March 2020, which resulted in lower sales for the third quarter. Cost of goods sold was $2.3 million in the third quarter of 2020 versus $9.9 million in the same period in 2019. Cost of goods sold included approximately $0.9 million associated with the production of IBA and related products and the maintenance of the Luverne Facility and approximately $1.4 million in depreciation expense. The gross loss was $2.1 million for the third quarter 2020 versus $3.8 million for the third quarter of 2019. Research and development expense decreased by $0.9 million during the third quarter of 2020, compared with the same period in 2019, due primarily to a decrease in personnel and consulting expenses. Selling, general and administrative expense increased by $0.8 million during the third quarter of 2020 compared with the same period in 2019, due primarily to an increase in personnel, consulting and insurance expenses, and then professional fees offset by a decrease in Investor Relation expense. For the third quarter of 2020, we reported a loss from operations of $6.1 million, compared to $8.0 million for the same period in 2019. In the third quarter of 2020, cash EBITDA loss, a non-GAAP measure that is calculated by adding back depreciation and non-cash stock-based compensation to GAAP loss from operations was $4.0 million, compared to $5.8 million in the same quarter of 2019. Interest expense for the third quarter of 2020 was $0.5 million, a slight decrease compared to the same period in 2019 as a result of lower amortization of original issue discount and debt issuance costs and the conversion of $2.0 million of the 2020/21 notes to common stock during July of 2020. For the third quarter 2020, we reported a net loss of $6.8 million or a loss of $0.09 per share based on a weighted average shares outstanding of 77,049,896 shares. This compares to a loss of $8.6 million in the third quarter of 2019 or a loss of $0.66 per share based on a weighted average shares outstanding of 12,968,265 shares. In the third quarter 2020, we recognize net non-cash gain totaling $0.2 million due to changes in the fair value of certain of our financial instruments, such as warrants and embedded derivatives. Also during the third quarter of 2020, we incurred a $0.5 million loss related to the conversion of $2.0 million of the 2020/21 notes into common stock during July 2020. Adding back these non-cash losses resulted in a non-GAAP adjusted net loss of $6.5 million in the third quarter 2020 or non-GAAP adjusted net loss per share of $0.08, based on a weighted average shares outstanding of 77,049,896 shares. This compares to a non-GAAP adjusted net loss of $8.6 million in the third quarter of 2019 or a non-GAAP adjusted net loss per share of $0.66 based on weighted average shares outstanding of 12,968,265 shares. Now, I’ll turn it back over Pat to wrap things up.
Patrick Gruber: Thanks, Carolyn. I’ve got a couple other points to touch upon. Price continues to make progress, recall it, they are working to licensed and build plants in India with the idea that the Indian Airforce would be the ultimate customer. I have a suspicion that other airlines might become customers too. That’ll continue to make progress over the coming months and over the next year. We are also continuing the development of our biogas projects. These projects are financially attractive offering significant cash flows returns. We have the development engineering money needed to secure project financing. So we’re moving forward with that, rather than being stuck having to raise development expense capital. And we also have the equity needed to move forward, we have to work on and we continue to work on getting the debt terms arranged. That’s a nice project. It generates nice cash flows. Now looking forward, I expect I will soon announce the engineering firms and additional plant sites. These things more rather than less are timing that we can influence, I expect that we will soon have additional customer contracts to announce and that they should be substantial and they’re being worked on. We are always faster than the big companies we’re negotiating with and timing is in their hands. As I said before, there contracts are progressing just as fast enough for me. Finally, I expect that as we finalize the equity investors in our plant production projects and get those deals done to the point where they are allowed to be visible. We’re going to be very glad to tell you about that, too. We’ve heard from some of you that you may have noticed more activity up at our Luverne site. That well you’re right. There’s more going on there. We’re in the midst of running a campaign to produce more isobutanol to replenish our inventory. We use the isobutanol that we produce there as a feedstock for the hydrocarbon plant down at Texas, Haltermann and others want the products. We still see no reason to run ethanol, we would just lose money. So, with that, let’s open up the call for questions. Operator?
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Shawn Severson with Water Tower Research. Your line is open. Please go ahead.
Shawn Severson: Thanks. Good afternoon, everyone. Hey, Pat, can you give a little more color on who you’re talking to and specifically address these strategic versus financial investors. And maybe compare and contrast, I guess, which won’t be preferred by you and why?
Patrick Gruber: Well, what’s interesting about what we’re doing, if you stop and really look at it is, we’re capturing renewable energy that happens to be in -- that we’re putting the renewable energy into the form of a liquid fuel. It’s -- our liquid fuels can be used in the gasoline sector for automobiles, the dumper trucks, of course, for airplanes. We using are wind energy, biogas energy, photosynthetic energy, which touches on agriculture and so when you start thinking about -- and hydrogen too we can, because if you have excess wind, you can do something with it, we will be involved with hydrogen as well. So you start to look at that who might be interested, it makes for a different slate of people than one might expect. Because the whole game that is -- the whole greenhouse gas issue that needs to be solved is how do we get off of coal, fossil-based natural gas, fossil-based electricity, a business system like ours allows and enables the capture of all the different things and packs that energy into a fungible fuel in the form of a liquid hydrocarbon, which of course can be taken to any market? That’s interesting. So it’s a different kinds of -- different groups of people are interested in these things. And then as far as the individuals of whether the companies, whether they’re funds or strategics, is that because the -- I think that carbon is more valuable -- reductions of carbon are more valuable to strategics, because they have to do something about it. So that’s what we’re seeing in the midst of all this investment, like in renewable diesel and you have all these big energy companies who, not that long ago, you said, no way, would they ever invest in such things and now that’s what they’re starting to do. Yeah, that kind of thing. There -- they have to do something and there’s no more escaping.
Shawn Severson: I just have a follow up on looking at liquid fuels, I guess and kind of comparing that as a renewable solution. I mean, relative to wind and bio and fuel cell, fuel cell electric vehicles, renewable natural gas, a lot of different technologies, and obviously, sometimes I think liquid fuels gets left by the wayside a bit. But can you sort of -- can you compare and contrast how that fits in to the renewable future?
Patrick Gruber: Sure. When you look at projections of energy for the future and actually what vehicles are even being sold, and you look out, like, 2050, it’s pretty much the same kind of energy profile that we have today, although there is a bigger component of renewable attached. So the -- think of it this way, the growth gets taken up by renewable energy, and of course, we have growth, because economies are planning on developing still. But we still wind up with the same kind of a size of the fossil fuel need unless something changes. Now, when you think about trying to use electricity, you got to have a new vehicle, got to have batteries, you got to be able to have a good supply the batteries, they got to have to work long enough, you actually have to have renewable electricity to deliver to those batteries and it has to be done in a concentrated way, so that you can get the bang for the buck in terms of vehicles. You think of it this way with ours. We’re taking that renewable energy, packing it into a liquid fuel and then it uses all the existing infrastructure. There’s no change required on the part of the consumer. No change required on the part of a fleet owner. It’s just a different game to play. And so isn’t -- we need -- it isn’t one or the other, we’re going to need them all, because the amount of fuel that has to be replaced, the fossil base stuff is, so freakin enormous, that we got a -- it’s going to take any and all solutions. So I think it’s a question of, in some places, it’s going to make terrific sense to have EV, other places not so much, like in a rural place or it might be that you think about, I mentioned that for instance, you mentioned fuel cells and I mentioned hydrogen earlier. You know what, we have wind towers and we’re making excess wind, because the winds blowing and I don’t need it for the plant. You know what, I think maybe we ought to make hydrogen out of it and maybe we turn it into something that play in that market sector, too. So, well, I think, I look at the future, I see that it’s going to take multiple solutions, we have an interesting one, because we’re not hung up with infrastructure, we can leverage existing infrastructure. We’re not hung up with having to get new fleets and talking everyone into buying a new vehicle. You know what, gives you the same old vehicle, lower your carbon footprint by using our products directly. People haven’t thought of it much because they’ve been unaware of these types of things. They just don’t know yet. They’re still -- and they still look at us and go, what, you are doing gasoline, you mean ethanol? No, we’re not doing ethanol. Ethanol is like the 10%. We’re doing the other 90. What, you can do that, and that we run into this all the time, people just doesn’t -- they’re still learning that as possible. So it’s interesting. But of course, this is why Trafigura did sign up with us because they get it, Haltermann Carless gets it and there’ll be others, too, get it as well.
Shawn Severson: Thanks, Pat. My last question step out is on cash flow? Is this quarter pretty good proxy going forward for cash burn? Or is there going to be any other changes or investments you think you’ve made over the next couple quarters?
Patrick Gruber: I think it’s pretty typical. They’re going to creep up incrementally a little bit, as -- because we had reduce staff. And so we got to bring back a few more people. So it should be pretty typical. We’re going to have chunks, that gets spent at various times for engineering projects. So these aren’t like your typical R&D burn type things. You’re going to be now we’re doing engineering work, paying into a company to deliver on a project and we expect to be reimbursed as the project closes. So we have some of those types of expenses and we’ll be able to give more color on those. So in terms of your basic burn, we’re in pretty good shape. What’s interesting about this is, the question I get most asked is, hey, when are you going to raise money again. Why not plans to raise money anytime soon. Although, I do recognize that as we get these projects deployed and we have a good partnership with equity investors, it might behoove us to invest, because it makes with them and that might be useful, but that’s down the road sometime.
Shawn Severson: Okay. Thanks. Pat.
Operator: Thank you. And our next question comes from the line of Amit Dayal with H.C. Wainwright. Your line is open. Please go ahead.
Amit Dayal: Thank you. Good afternoon, everyone. I appreciate you are taking questions? Great to see…
Patrick Gruber: Hi.
Amit Dayal: … level of the sales coming together on these plans forward. So did I hear correctly that that you have equity investors for 48 million gallons already in place? You’re trying to see if you can get additional investors to come to that 20 million gallon number, that doesn’t come in within -- a certain timeframe, you are happy to move forward with this 48 million gallon financing that is shaping up for you?
Patrick Gruber: Actually, it’s slightly different than that. We actually have equity investors are willing to put up the equity for all 70 million gallons.
Amit Dayal: Okay.
Patrick Gruber: However, we probably tranche it, because we have a contract, the take or pay contracts in place for 48 million gallons and so we can -- that’s clear, we can move on with it. And then depending upon who takes that next tranche and there’s a couple of them who could do it, then that would dictate where we might want to locate a plant, and it’ll influence a little bit of the decision. But we already have the equity players, we have turned sheets from them for the -- to do the whole build out of the first three plants.
Amit Dayal: Okay. Understood. So that’s a really big development. And alongside that, you are finalizing the engineering firms or have you already sort of finalized it and you are waiting for certain catalysts before you announce who the engineering team will be?
Patrick Gruber: Well, it’s -- yeah, we have our lead horse and we’re already engaging him. And we have to go through -- there’s initial step again you are going to have to do and then when to do the lot, the whole turnkey project, there’s a couple other people whose names have service to lately that we have to look at. So it’s about -- we will announce it at the appropriate time. We’re definitely engaged and our -- we’re definitely engaged.
Amit Dayal: Okay.
Patrick Gruber: It’s about…
Amit Dayal: So do you…
Patrick Gruber: It’s -- there’s two -- there’s -- so there’s like an engineering part and then they’re saying, here’s the -- here’s who’s going to build out the whole giant plants or the two plants with whatever turnkey project. Those are two separate things.
Amit Dayal: Right. So based on this commentary, is any of this sort of news flow coming, potentially going to come before the end of 2020 or should we expect announcements around these to happen in early ‘21?
Patrick Gruber: Don’t know yet. It’s like, it’s not my -- I don’t -- I’ll put -- I’ll do stuff when it’s signed. And the engineering stuff, like, I think, it’s more in our control, the site selections more in our control, so those could happen sooner rather than later. But we’ll do them when we’ll announce them when they’re ready to announce, but they could be sooner. So I would expect those to be sooner. Regarding the customers, okay, this is one of these ones where I see it growing, so I see the list of people who want product is growing. And I see that the contracts are being negotiated. There’s a couple contracts that I hadn’t thought of and done by now. But they got caught up in stuff with the other company that had nothing to do with us or nothing to do with our product. It was just their whole what’s going on with them in the world and it’ll get done eventually and so those could take a little bit longer. But now the stuff is still moving forward. I don’t know. It’s just -- it’ll -- this is here somewhat unpredictable anyway. So I even hate making predictions. But in terms of the engineering firms, in terms of site selection, that stuff I’d expect to happen sooner rather than later. But I’ll announce it when it’s ready to announce.
Amit Dayal: Okay. Based on how all this sort of falls in place and if it happened to fall in place, say, by the first half of ‘21. At that point, going into the second half of ‘21, do you potentially start getting paid for development work that you will be…
Patrick Gruber: Yeah.
Amit Dayal: … putting into this?
Patrick Gruber: Yes. Right. So the way that this should unfold is that we do the development work up front, then we get reimbursed for it. If the things hold the schedule, we should start to see some of that money coming back to us late in 2021. So -- in the late meaning, the latter half, don’t know exactly when, depends upon how things get done and their timing. We have a couple of these partners want to go faster rather than slower, which of course that suits us, too. So what should happen is, we’ll announce -- the engineering firms announce the sites, we will bounce additional customers, we will announce then who it is that are -- these equity partners are in the project, we will announce who it is that how we’re doing the debt side simultaneously, as Lynn mentioned, then they’ll be moving it forward to the financial close and the financial close then we get reimbursed for the money we just spent on the engineering and the other stuff and licensing fees and things like that. And so, yeah, that should matter a lot. It’s material. And the good news is, we have enough money in our balance sheet that if it takes longer, we’re still in good shape. So I don’t have any reason to think it would take longer other than the practical reality of stuff sometimes does. But you know what? They are working through. Well, the next milestone for on the equity, on the project front -- plant project front is to get those equity investors locked down. Now, I also mentioned the biogas in my comments. The biogas thing is interesting, because biogas is a we needed, we wanted for feeding our boilers and our plant because reducing gets us off natural gas partially and that reduces our carbon scores. And of course, we get paid for carbon score. It matters. However, guess what, we also can sell that to California and that we’ll be doing that. And it should be expected. And that should start up in the latter half. If things go right, we still got work to do on the financing front. There on the debt side. But we should -- that should be generating revenue maybe late next year or two. It should be. So we’re going to have -- I would expect a couple revenue streams we hadn’t seen before. And of course, if ethanol ever does come back to be something where it’s profitable, we can always turn that back on to.
Amit Dayal: Okay. Understood. And then, with this timeline that you now have, there’s a lot more clarity versus maybe even last quarter and all this. Are you comfortable that you will be able to sort of meet your agreement to with Trafigura for the 25 million gallons per year by the 2023 timeline?
Patrick Gruber: Yes.
Amit Dayal: Okay. Understood. And then with respect to sort of the 50,000 production that is ongoing right now from South Hampton, which customers is this product going through? Is it all going to one or two customers or are these multiple clients that you obtaining?
Patrick Gruber: Yes. So what we’re doing is, remember the capacity for our plant down in Silsbee, Texas is about 100,000 gallons per year, right?
Amit Dayal: Yeah.
Patrick Gruber: And we have the ability to move the output from jet fuel to gasoline. These -- the renewable gasoline, Haltermann Carless would -- they always want. It always seems to me that they want more hydrocarbon, more isooctane and there’s other people like them. The isooctane is particularly interesting. Jet fuel, sure, people are want to use it and test it. But we don’t have enough capacity to move the needle anywhere, except for some corporate aviation stuff that someday I hope to be able to announce, because people will find it interesting as to who’s been buying it. We just aren’t allowed to say who it is. The -- what we’re running now up at Luverne. So we did start the Luverne plant up. It’s not running ethanol, it’s running isobutanol and we’re running a campaign to make isobutanol gallons, so that we can feed them down into our plant in Texas.
Amit Dayal: Okay. Understood. Yeah. Those are all my questions, Pat. Thank you.
Patrick Gruber: Yeah. It’s kind of fun to be running our isobutanol again, because how often do I get asked, well, I can’t run it? Yeah, we do. This is -- we’ve been doing this -- we need renewable isobutanol. So we got to go make it ourselves and we have a team in place to do that.
Operator: Thank you. And our next question comes from a line of Poe Fratt with NOBLE Capital Markets. Your line is open. Please go ahead.
Poe Fratt: Thank you. Good afternoon, Pat.
Patrick Gruber: Hi, Poe.
Poe Fratt: Good afternoon, Lynn and the rest of the team. Busy quarter last quarter, it looks like this quarter is going to be the -- big event is going to be the payoff of the white box debt at the end of the quarter. What -- when you talk about the biogas investing promises, you’ve talked before about a certain amount and can you remind me of the amount of that potential equity investment and then what’s the timing might be?
Patrick Gruber: It will depend upon having the debt side. I think the best answer to this is, it’s not an outrageous investment. I don’t know the amount that we will have to put in, because there’s been some equity players -- player -- players who have indicated some interest in co-investing with us, we have to decide does it make sense or not? I hope it does. Although, I do like returns from this project. So it’s a -- and then there’s the debt side. So I think this is one where -- because I have moving parts, I don’t want to -- I don’t -- I don’t want to speak out of turn. It’s not huge capital, though, in any case. So it’s like, $15 million would be the full equity amount if we had to pay it.
Poe Fratt: And it will go…
Patrick Gruber: But I don’t think we will.
Poe Fratt: It will be a [inaudible]?
Patrick Gruber: Yeah. I just want to guess, but I just don’t know. And this is again strictly finance return. A project like this has financial returns that are ridiculously high IRR. And so there is that real question, we’re going to have to look at ourselves and say, hmm, maybe we want that money for ourselves, because I might want the cash flow. So that’s the kind of stuff that we have to evaluate yet. I just don’t know.
Poe Fratt: And then can you talk about just the term sheets that are outstanding with the -- both the financial and the strategic equity players. I think, it was -- on previous calls, you talked about how many LOIs on two plant location. Is the strategic brain potentially another plant location, replacing one of those LOIs, so can you just sort of talk about the LOIs that we previously had on plant locations and then also potentially, when you expect the move on those LOIs and close?
Patrick Gruber: Oh! Okay. Okay. So two separate things. So we got two -- let’s you kind of allude this first. On our -- we got the term sheets from equity investors, they definitely have ideas about where they want product, how they want to do it, how fast they want to go, can we accelerate it, stuff like that, okay? And that influences how we think about things. And it’ll be interesting for people once we can actually talk about it clearly and openly. It’s going to be interesting. Now, as we add in more gallons, we continue our search and continue to look at other sites for, taking over an ethanol plant or building a side by side isobutanol hydrocarbon plant. We have several players who -- they’re interesting in that we could do it on their sites, they’re open to it, we have LOIs, we have them already. And so we could do that. It’s a question of which one makes the most economic sense in light of who it is that we’re working with on the equity side of the project. So we have multiple sites already, that we could use, we think there’s a better one.
Poe Fratt: Okay. And then when we look at the non-recourse has to been constructed and then you’ll retain a minority interest. Can you talk, I guess, Lynn alluded to that the debt structure has been finalized? Can you share with us a final terms on the debt side? And then also, what potentially minority interest level you might see you will retain on the -- at the SPV level?
Patrick Gruber: Well, what’s interesting is, I’ll answer the last part first kind of…
Poe Fratt: Okay.
Patrick Gruber: I don’t want to -- I’m not sure of the minor -- what our minority interest will be exactly. Because it depends on how much we invest. We have enough cash in our balance sheet to make a good investment in those projects. And that would lift our portion of that project and the returns on these projects are attractive. So that would be good for us in a cash flow sense. We already have money that we could invest and it would upraising any more. So there’s a question, do we do that or not. So that impacts then how big our minority interest is? Of course, just by being a developer in licensing technology and all the rest, we would expect to get some minority interest typical of what would be market in a developer, although we’re also licensor, in for us and as we make money as Gevo, remember, we get money from a license fees or operating fees, because who’s going to operate these plants, it’s going to be Gevo, we get paid to operate these things. So out of that pro -- before the project pays off returns to the investors, we got to get paid to operate the plants and do those kind of things. So that’s all part of this overall equation. And then the debt structure itself, it is -- we have a very clear view of how to do it. What to do? Who’s going to do it? Could it be subject to change still? Yeah, like, so I don’t want to give a specific percentage interest rate with these specific terms, because this all depends upon who plays? How they play? Do we did it? Do we tranche it? Did -- what do we do? So there’s a bunch of things that still could move around. I just don’t want someone send me 50 billion emails on, well, you said this, I am just not ready for yet.
Poe Fratt: Okay. Got it. And then if you could talk about the engineering plans. It sounds like that you, it’s two phase. You have the feed. The feed player in place already, design works underway and then once that’s all finalized, then you’ll go out and get it to a whole EPC contractor. When do you -- is the EPC contractor, is that potentially done as financial close, in their financial close or potentially do you put that out to bid through…
Patrick Gruber: Sooner.
Poe Fratt: …EP -- Okay. And then I just don’t…
Patrick Gruber: Much sooner.
Poe Fratt: I think we’d be forward if we have talked about financial close in the first half of 2021 towards the later -- probably later rather than sooner, closer to mid…
Patrick Gruber: Well…
Poe Fratt: 2021.
Patrick Gruber: No. it would be. Yeah. Yeah. Yeah. Yeah. Timing looks like this, feed. So feed is for everyone else, feed means the full engineering work is -- it’s kind of an acronym we all use. And you need that done, gives you final engineering. So then -- and then you turn around to an EPC contractor or engineering firm who builds the plan constructs it and stuff like that. We are working on feed right now we’re going to get that pin down. The people we’re working with could be the EPC. We’d expect them. They’re certainly capable of it. But there’s other people who maybe have a sweeter deal and they’re perfectly capable of it too. This is partly what you do when you’re negotiating contracts are in the hundreds of millions. So then we’d announce those things. There’s going to be the financial close that plant has to get built after financial close. The equity partners would be announced long before the equity close, but -- long before the equity close. We’re going to have to tell people about it. That’s just the reality of it. Because it won’t be -- we won’t be able to hide it. We’re going to have to put it out there and tell everybody. That would I’d expect in the first half of the year. The close itself, it depends on how all the pieces come together when all the site work is, everything is completed, all the -- everything is done and buttoned up and we can get to a project financial close. And these projects are onerous in terms of the amount of detail and work that they take and the amount of diligence stuff that goes into it and the amount of reports and expert stuff that has to be done. And so we plan for that in the second half of the year.
Poe Fratt: Okay. Yeah. That seems a little later than would you contemplated before, but still with the…
Patrick Gruber: Well, it’s the same Yeah. Actually, it’s the same, if you go back and look, we talked about it being the second half of the year, takes one year, even doing the gas, from -- on the project to get something to close. But we talked about doing the financial close biogas I would expect in the first half of the year.
Poe Fratt: Okay. And then, any comment on what potentially happened under good, bad or different under Biden administration…
Patrick Gruber: That’s interesting to see. Yeah. So that should be interesting. It should bode well for us. I would think so, because this is a chance for some of the greenhouse gas stuff to get put into policy. Hopefully, it’ll be done in a good constructive way. There’s a -- they got a win over the Midwest, the dams do. And so that’s good for agriculture. There’s a whole bunch of new techniques called regenerative agriculture. But it’s a -- how do you capture carbon in soil that does come into play. People are waking up to the fact that it isn’t food -- growing stuff isn’t necessarily easier. That’s how you do it. But we’ve known that for years and we have been talking about it, good people are listening. And so I think, overall, it’s good for us. There’s no question about it. It’s just -- we got to see what happens in Georgia, does the whole thing turn blue or it’s going to be more incremental, if the senate stays red. So, overall, it’s got to be good for us, right? Because we happen to have one of the few technologies, maybe the only one that I’m aware of that can be scaled up to deal with gasoline itself, the hydrocarbon portion of gasoline. And of course, we have the ability to make the jet fuel or diesel fuel tool. Plus if the people are as aggressive as they say they’re going to be about chemicals and materials. Good. I have the building block for those too. So let’s go. Let’s get on with it.
Poe Fratt: Okay. Great. Thank you so much, Pat.
Patrick Gruber: You bet. Yeah.
Operator: Thank you. And I’m showing no further questions at this time and I would like to turn the conference back over to Patrick Gruber for any further remarks.
Patrick Gruber: Great. Thank you all for joining us. It’s an exciting time for us. It’s quite a different position that this company is in now. It was not that long ago, right, when we were -- having to bear -- how are we going to live through the year. I’m looking forward to paying off white box and getting out from under that debt. I’ve heard for many of you that that’s important thing and it’s crystal clear that that’s going to happen. We’re moving forward on these engineering projects, moving forward on biogas. It’s good. We’re going to -- there’s like, it’s interesting and momentum seems to be going in our favor across the Board and including with the election. And so we’re pretty darn excited about what’s going on and our partner seemed to be too, I just got again over the line on everything. So, thanks for your support. Thanks for joining us. Have a great evening. Bye.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. This does conclude the program and you may all disconnect. Everyone have a great day.